Operator: Thank you for standing by. My name is Alex, and I will be your conference operator today. At this time, I would like to welcome everyone to the Murphy USA First Quarter 2024 Earnings Conference Call. [Operator Instructions]. 
 I would now like to turn the call over to Christian Pikul, Vice President of Investor Relations. Please go ahead. 
Christian Pikul: Thank you, Alex. Good morning, everyone. Thanks for joining us today. With me are Andrew Clyde, Chief Executive Officer; Mindy West, Chief Operating Officer; Galagher Jeff, our Chief Financial Officer; and Donnie Smith, Chief Accounting Officer.
 After some opening comments from Andrew, Galagher is going to provide some additional color commentary, and then we will open up the call to Q&A. Please keep in mind that some of the comments made during this call, including the Q&A portion, will be considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. As such, no assurances can be given that these events will occur or that the projections will be attained.
 A variety of factors exist that may cause actual results to differ. For further discussion of risk factors, please see the latest Murphy USA Forms 10-K, 10-Q, 8-K and other recent SEC filings. Murphy USA takes no duty to publicly update or revise any forward-looking statements.
 During today's call, we may also provide certain performance measures that do not conform to generally accepted accounting principles or GAAP. We have provided schedules to reconcile these non-GAAP measures with the reported results on a GAAP basis as part of our earnings press release, which can be found on the Investors section of our website.
 With that, I will turn the call over to Andrew. 
Andrew Clyde: Thanks, Christian, and thank you, everyone, for joining us today. In addition to discussing our first quarter results, I'd like to welcome our new CFO, Galagher Jeff, to the call. Galagher hit the ground running at our March investor conference and is already having a tremendous impact with the team. And likewise, Mindy has fully embraced her broader COO role, and with Galagher's support, she is standing up the productivity improvement initiative we introduced at the conference. I continue to be very grateful for the incredible leadership team supporting the business here at Murphy USA.
 In addition to the benefit of having great leaders on your team, another thing I've learned about this business is that every quarter is a little bit different, and when it comes to evaluating performance and measuring wins and losses, understanding that context is absolutely critical, especially when your efforts and energy are focused on long-term value creation. Q1 2024 had a few unique factors that separated it from its year ago counterpart.
 Product prices were up $0.50 compared to $0.08 in the prior year. We also didn't see a repeat of the beneficial falloff in prices mid-quarter and overall, saw less volatility. In addition, severe weather events were abnormally higher, especially those concentrated on the Atlantic Coast from Florida to New Jersey. In that setting, our core Fuel and Tobacco businesses performed exceptionally well. APSM fuel gallons were essentially flat year-over-year and up 2% on a 2-year stack on comparable retail margins of $0.22 per gallon, with January retail margin is the highest on record.
 This level of performance and what would historically be a very challenging environment, strongly supports our view of the sustainability of the structural industry dynamics that continue to favor Murphy USA. And while the Opus industry volume data may not fully represent all the competitors in the market, it certainly highlights that Murphy and QC are taking share in our respective markets. Similarly, the Tobacco category saw very strong sales and margin growth, up 6% and 4.5%, respectively, and units remained healthy across all nicotine categories.
 Looking at broader industry data, we continue to take share profitably. The stickiness in share gains in fuel and tobacco are 2 largest categories reinforce the nondiscretionary nature of these categories for our value-seeking consumers. Indeed, we saw a comparable year-over-year purchase behavior across all income cohorts and we continue to see consumer stock up on fuel and tobacco around major weather events.
 We also continue to see new to Murphy's customers behave the same as they trade down from higher-priced retailers. But the bottom line is that the fundamental drivers of our largest and most EBITDA accretive categories continue to grow despite a more acute set of conditions in Q1 '24, relative to the benign conditions of Q1 '23.
 That said, these same conditions impacted the more discretionary [indiscernible] store categories due to fewer trips reflecting lower absolute fuel prices and less stocking behavior for these categories. We also witnessed the lag in lot of lottery as it took longer to build up to similar jackpots and we believe there is some switching to new and newly legalized online betting sites, which saw significant growth in some of our states.
 While below our Q1 expectations, there were still bright spots. Murphy branded stores grew non-tobacco margin dollars by 3.6% APSM, led by innovative dispensed beverage offers with sales up 19% APSM. Packaged Beverage sales were up 1.8% APSM, yet contribution margin dollars for the category grew 3% due to pricing and promotionally driven product mix changes.
 Overall, the 2-year stacks for Murphy stores provide a more fulsome view of our performance, indicating APSM nontobacco sales and margin growth of 12% and 17.2%, respectively. At QuickCheck, Food and Beverage sales were up 3.7% APSM and contribution margin dollars were up 1.2%. This is despite fuel gallons down 1.2% APSM.
 Having seen the recently reported earnings for a number of QSRs where same-store sales results were mixed, we believe our prior decision to stay focused on value pricing amidst some of the increasing food cost inflation is paying off. A recent brand survey further updates and reinforces our strong positioning with consumers. And with more innovative offers to come alongside the enhancements from our digital initiatives, we believe we are very well positioned in the current environment compared to the food brands that are having to make a sharp pivot towards value.
 Looking ahead to the rest of the year, our core innovation, growth and productivity initiatives that largely focus on Food and Beverage [indiscernible] store opportunities remain on track with benefits related to the second half of the year. Coupled with softer Q3 and Q4 2023 comps, we remain confident about the trajectory of this part of the business. The PS&W and RINs component performed in line with our Q1 plan, which accounted for not repeating the higher Q1 2023 RIN sales, which were a carryover from Q4 2022 when the EPA announced a proposed rule to establish RFS volumes for 2023, '24 and 2025, which created uncertainty as the market absorbed that information.
 Moreover, we anticipated tight supply in Q1 '23 in a few markets, and our supply model enabled us to capture an advantage in supply-constrained markets that did not repeat in Q1 2024. We continue to believe our supply model provides an advantage that differentiates us from some of our competitors and expect it will continue to provide value within the historical range of $0.02 to $0.03 plus per gallon.
 OpEx was also favorable to our internal plan as higher labor costs for specific cohort investments were implemented as planned. We are closely watching the proposed FLSA changes, and believe the 2024 impact to be minimal. We are running scenarios and have developed options to address what would be a larger impact in 2025 if the changes go through as proposed.
 Of note though, to the extent that the marginal retailers have salaried managers impacted by the regulation, the impact of their business on a cents per gallon basis would be 3 to 6x higher due to their lower volumes. As discussed before, Murphy USA is certainly not immune to the headwinds that arise from inflation or regulations. It's just that our hyper-focused everyday low price in everyday low-cost model ensures, we are not only not disadvantaged from the changes, but that the vicious cycle experienced by some retailers results in a virtuous cycle for Murphy if the changes ultimately result in higher unit costs being passed through at the gas pump.
 Looking ahead, with steady momentum from the January through March months, we expect to capitalize on key promotional opportunities around our primary traffic drivers and fully expect to see results improving in the second half. To add a little color to the anticipated lift in merchandise performance, we expect to see continued strength in tobacco, center store improvement as new pricing and promotional initiatives take hold. As it is still very early in the year and given all the initiatives underway and the expected second half impact, we remain confident in delivering merchandise results within our guided range, albeit probably something closer to the lower end of the range as we are unlikely to be able to fall back some of the first quarter headwinds versus our plan.
 Nevertheless, the run rate impact on next year's merchandise results remain significant and reflects the hard work and highly impactful digital transformation initiatives underway, including a relaunch of the QuickCheck loyalty program, which is underway and should be rolled out in the fourth quarter. 
 In summary, the entire team and I are really excited about all the activity we have going on to build upon the underlying strength of the business and we look forward to updating you on our progress next quarter.
 And with that, I'll turn it over to Galagher. 
Galagher Jeff: Hello, everyone, and good morning. Thanks for the introduction, Andrew. It's been an amazing experience for me so far here at Murphy. I'm extremely impressed by the team and the commitment to creating shareholder value through Advantaged Business model and focused strategy.
 I spent my first few months learning our business and meeting our team members and customers, and I'm very much looking forward to getting to know our shareholders and invest in building these long-term relationships. I also wanted to thank Mindy for putting such a solid foundation and strong team that I've come into here at Murphy. This morning, I'm going to switch up the content a bit versus prior calls. Most of the financial information typically discussed is already provided in our earnings release.
 So to avoid redundancy, going forward, I'm going to focus my comments on incremental elements of the business, adding clarity where it may be needed to better understand our financial and operational results as well as our overall financial health and capital allocation strategy. First, I wanted to add some perspective on our new-to-industry store our NTI program, which we have stated previously remains a significant driver of EBITDA growth over time.
 As mentioned in the earnings release, we have opened 3 new stores, including 1 QuickCheck store during the quarter. We closed 3 QuickCheck stores that did not have a fuel offer and were not materially additive to our EBITDA. Since quarter end, we have opened 1 new Murphy Banner store with 2 more scheduled to open in the next few weeks. Current construction activity is accelerating with 22 raise and rebuild underway as well as 9 new-to-industry stores, including 3 new QuickCheck branded stores.
 Expected new construction starts in May and June, is on track to deliver the 30 to 35 new stores this year, which is in line with our guidance, and a projected increase versus the 28 new stores that were opened last year. The new store pipeline is also in great shape and right now stands at the highest level it has been since COVID, which means we're getting line of sight to a more robust 2025 opening pace.
 I'll update you more on our progress for new store openings later in the year. From a capital spending perspective, we spent $82 million in the first quarter, with $61 million of that for new store growth and the rest going to maintenance capital and the digital transformation initiatives that we have discussed in prior quarters. These initiatives are on track, and we expect to stay within our guided range of $400 million to $450 million of spending for the full year 2024. I'd also like to talk a bit about our share repurchase activity.
 For the release, we repurchased 216,000 shares in the quarter and remain committed to our goal of buying back around 1 million shares annually. We intend to continue our repurchase activity utilizing cash on hand and other available means of liquidity, particularly if we feel the market price of our stock does not accurately reflect our ability to grow and improve the business. We maintain a high level of confidence in our ability to execute against our multiyear plan, and we think this is a great opportunity to be buyers of our stock.
 We continue to operate under the Board authorization to repurchase up to $1.5 billion of our stock, which extends through 2028.
 With that, I will turn the call back over to Andrew. 
Andrew Clyde: Thank you, Galagher. Let me close with some comments on the preliminary April fuel performance, where prices have trended higher throughout most of the month. Nevertheless, APSM fuel volumes approximated just over 100% of prior year levels and retail margins look to be roughly $0.03 above Q1 results or about $0.245 per gallon.
 The continued run-up in price sets us up nicely for an eventual fall off in prices during the higher volume sober months, which is a win, not an if event. To that point, we have seen a recent drop in prices over the past week and we are currently sitting on retail margins in the low to mid $0.30 range.
 I'll now turn the call back to the operator, and we'll open up the call to questions. 
Operator: [Operator Instructions] And your first question comes from the line of Anthony Bonadio with Wells Fargo. 
Anthony Bonadio: So I realize you're not explicitly updating guidance this quarter. But I guess at a higher level, just how are you thinking about your confidence level in that $1 billion to $1.2 billion EBITDA range that you gave just in the context of what we saw this quarter and what we're seeing from the consumer? 
Andrew Clyde: Yes. Good question, Anthony. Look, we don't historically update it this quarter. But if you kind of read through the script, I think we pretty much updated you on everything. PS&W plus RINs was in line with our Q1 plan. OpEx is in line with our Q1 plan, volumes are right on track and continue to be as we go into April merchandise.
 We talked about the Q1 headwinds, but still believe that's going to be in the guided range maybe on the lower end. And as Galagher noted, our CapEx and store growth is there. So the only thing we don't guide on is retail margins. And we've discussed the retail margins in the setup in Q1 at $0.22 versus a little bit higher in Q1 last year. We've got a lot of quarters to go. And there's nothing better than a big run-up in prices because you know you're going to have a more positive opposite effect when prices fall.
 So I think we actually provided insight on all of those elements. And I think the thing we have to remind folks is we give annual guidance. We don't give quarterly guidance. We have an annual plan that aligns with that guidance. And we do break that out monthly and quarterly. So when we say this is aligned with our plan, it translates into our view for the whole year. So I hope that's helpful. 
Anthony Bonadio: Got it. That is helpful. And then just drilling in a little bit on the inside store guidance. Can you just help us better understand your comment around results being weighted to the back half. I know comparisons are a factor, but maybe just a little more color on the cadence of some of the initiatives that you're working on and what's giving you confidence in that inflection to get to the contribution guidance? 
Andrew Clyde: Absolutely. There's promotional initiatives. There's the digital transformation initiatives that we have that as we move from pilot sites to rolling it out across the network, things that impact center of store, food and beverage, personalization and the like, our ISX remodels will start having an impact later in the year as well.
 So on top of resets and other things with the [indiscernible] that we have scheduled, we feel strong about that cadence. And you're right, if you look at the 2-year comps, which are pretty incredible, you do get to some softer comps in Q3 and Q4, which allows for that higher year-over-year total number. 
Operator: Your next question comes from the line of Ben Bienvenu with Stephens. 
Ben Bienvenu: Andrew, you noted in your commentary that adverse weather during the quarter, it provided some benefits to tobacco, particularly kind of maybe pantry loading effects across your stores, there were some headwinds as well. To what degree did that impact your ability to realize margin during the quarter? And what would otherwise be kind of a rising price market? And is there any kind of nuance associated with what we saw in the first quarter that we should be mindful of as we think about future quarters? 
Andrew Clyde: And are you -- when you say about realizing margin, are you talking about retail fuel margins? 
Ben Bienvenu: I'd be interested in hearing you talk about retail and product supply and wholesale. Just from our perspective, the product supply and wholesale plus RINs, in such a steeply rising price market, I would have thought there would have been a little bit better since per gallon contribution there, even considering kind of the excess RIN sales you would have had a year ago. So maybe kind of dissecting what happened in both retail and product supply and wholesale would be helpful? 
Andrew Clyde: So look, on the retail side, certainly, when you have that run-up in prices, it was a much steeper run-up than the year before. And you didn't have the fall off that we had mid-February, which is always a benefit from the retail side. So it ended up running up more steeply in an absolute level without the falloff. And that's going to be the biggest driver there.
 If you have a nice fall off in any period, it's just like we're seeing now in April, you go from $0.25 to $0.35 in a very quick period. On the PS&W side, there was a couple of factors there. We got the benefit from the accounting trading inventory timing variance that you would normally see. It's just offset by 2 factors. One is, we had some tight supply markets last year. We anticipated those. We took advantage of those, and that's when our supply chain really provides an advantage to us. So that offsets some of that. And then look, as we talked about, the RIN market occasionally gets distorted when the EPA updates are our best targets, and that's what happened in late 2022.
 So we just carried over some RINs into Q1 2023 which led to some of that outsized margin for that quarter. And for PS&W and RINs together, it was largely in line with our plan for the year. 
Unknown Executive: And Ben, just to add to that, some other headwinds in the retail side of the business, we did have because of the weather, some state of emergencies declared which hampered our ability to pass through increases very quickly. And then, as you know, in the Products Plant Wholesale business, it's very complicated. There are multiple factors working in tandem to influence everything. And so yes, given the [indiscernible] the quarter, we may have had lower results than you would have expected, but things like we had a significant drop in rent value during the quarter. They were essentially cut in half. And the magnitude of that drop ended up producing a bit of a lag in the spot to rate normalization.
 So the way to think about that is we were receiving less per RIN immediately, but without that on [indiscernible] corresponding benefit in the product price. And additionally, we had refiners pricing really aggressively at the rack to clear their winter-grade gasoline. As you know, most of our barrels are proprietary. They're not rack. And so those factors contributed to the lower product supply results than you might have expected. But we do continue to believe our supply model provides an advantage that differentiates us. And in fact, as we look into this quarter, that spot to rack has normalized across the system. RINs are accurately priced in. And as Andrew already mentioned, Retail is performing well for the quarter as well. So hopefully, that kind of explains why the results may differ from what you would have modeled. 
Ben Bienvenu: That's great. That's super helpful. Maybe shifting a little bit to inside the sort of the tobacco trends that you've continued to deliver, what causes that dynamic to change? Recognizing there's some company-specific issues, there's strategic pricing and your pricing differentials relative to your competitors and prices continue to rise, which I think probably highlights the value proposition you bring to the market? Is it simply a -- getting to the end of initiatives and law of large numbers that causes the growth and market share gains to flow or something else because the performance has been noteworthy there. 
Andrew Clyde: Yes. Look, Ben, I think it's like any other commodity category where you've got everyday low-price retailers and you've got those that price higher because, as you know, being somewhere stuck in the middle is the worst place to price commodity as a retailer. It's just similar to that vicious cycle as you see more retailers taking price with the price increases on the margin.
 There's just one more customer that chooses low price over convenience. And given our unique positioning, the word of mouth, the additional value provided through the Murphy Drive Rewards loyalty program and the value that we're creating across the supply chain, I do feel like it's something that's sustainable and there'll be ups and downs with the comps, but I think we have an advantage here, and we remain very focused on the category and do it in a responsible way, but also giving that value to the customer. 
Operator: Your next question comes from the line of Bonnie Herzog. 
Bonnie Herzog: I wanted to follow up on Anthony's question, but maybe ask a different way considering a key question we're hearing from investors is on your total fuel contribution in the quarter, which was quite a bit below your -- for modeling purposes, only target of the $0.30 to $0.34 per gallon.
 So I guess I wanted to understand if that range maybe is, I don't know, no longer seems achievable. And if it's more likely you'll be below and therefore, will you see your adjusted EBITDA below the $1 billion to $1.2 billion range. Or -- Andrew, are there other levers that we should just really be thinking about for you to have to pull essentially to drive EBITDA growth? 
Andrew Clyde: Yes. Bonnie, as I stated before, PS&W plus RINs was the biggest driver in the year-over-year variance.  And PS&W plus RINs is aligned with our plan. And so there's nothing that changes our view of our plan for the year in the range. Q1 was a little bit lighter on the retail side than the prior year, and Mindy talked about the factors there that contributed to that.
 We didn't have the fall off mid-February. I guess look, we're starting to see it now. And I can't remember exactly what happened on May 1st, a year ago, but we're going to have rising prices and falling prices. And when they happen, not if they happen, is something that we don't have a crystal ball in project. So I think the Q1 number is fully aligned with our plan and we've articulated why it varies from a year ago, and we don't provide quarterly guidance. And so that's probably the best way to sum it up. 
Bonnie Herzog: I completely appreciate that. And you can imagine on our side, too, to try and predict this, it's incredibly challenging. So it's helpful, honestly, to hear that Q1 came in sort of as expected. So we'll see how the rest of the year plays out just in terms of volatility.
 But maybe my second question to switch gears. Just on your Merch contribution. I guess you had modest Merch contribution growth in the quarter of 2.4%. But thinking about this in the context of the midpoint of your guidance because you do guide that, I think for the year, it's at 8%. So it does imply pretty significant acceleration in the rest of the year. So just if you could provide a little bit more color on the drivers of this and maybe you're confident that, that is still achievable, that would be helpful. 
Andrew Clyde: You're welcome -- as I said, look, the 2-year comps of sales and margin growth on nontobacco 12% and 17.5% really reflect the strength of '23 over '22 and continuing and holding that. So part of the 8% is just the math, right? We're not going to have the same '23 over '22 comp to go up against. But we don't run our business based on the comps. We run a business based on the initiatives. And so as articulated for Anthony, there's promotional activities, there's resets. 
 There's new offers that we're rolling out. There's ISX remodels. There's our digital transformation pricing personalization and other offers as well. Some of the things are even further back-end loaded like QuickCheck loyalty relaunch, et cetera. But there's a whole suite of initiatives that we've invested in that are going to have significant returns on the invested SG&A and capital that we're putting into those. 
Operator: Your next question comes from the line of Bobby Griffin with Raymond James. 
Robert Griffin: I guess first question for me is on inside the store business. And I know there's a lot of moving parts for the quarter. Can you talk about in some of the regions if you saw anything materially different that didn't -- weren't impacted by the weather that you called out, just trying to really kind of gather on what is going on in the center store and how big the deal was the weather versus maybe the consumer just being actually a little weaker today than it was 6 months ago across just areas of this country? 
Andrew Clyde: Bobby, it's a great question. We look at that really, really hard. And we try to correlate things to the weather. In fact, our demand forecasting tool that does our production planning and labor scheduling that we've rolled out a QuickCheck absolutely factors in the wedding of the weather. Look, when we have a foot of snow on the ground in New Jersey, for a few days, you can expect sales to be down 30-plus percent. I mean it's just absolutely horrible for our business and everyone else's business.
 If you look at the daily sales report for the last 4 or 5 days,  we've had great weather. Sales were up 6% year-over-year, week-over-week, right? Strong fuel volumes, et cetera. So it's been difficult for us to identify anything that is statistically significant beyond the weather factor. We do know that you've seen lower food inflation from take-home groceries, then eating away from home. But at the same time, I believe you continue to see trading down from QSRs to convenience stores. The one thing we have noted is that for not our full-size subs, but our 6-inch subs, some trade down from 6-inch subs to some of the snacking categories as people are just trying to stretch their dollar a little bit.
 One of the other things we've looked at is with lower absolute prices. We're not seeing 100% of that windfall being spent in the store. But if you look at where other consumer headwinds are, people are spending 8% more on car maintenance. They're spending 22% more on car insurance. And so I do think the average consumer is looking for ways to save money. Fortunately, we are one of those ways for them to save money, and on 12-inch subs and tobacco products and fuel, we're definitely a winner. So we saw a little bit of the trade down in a few of the categories, but largely, we would attribute big sales gaps on a day-over-day, week-over-week, year-over-year basis to severe weather [indiscernible]. 
 And look, we hate blaming anything on the weather. And so we've been real happy this last week when sales have rebounded the other way. And I think that gives us confidence also that the value pricing position we've put ourselves in, where we consciously made the decision to not take price early, has really positioned us well in the eyes of the consumer. And you see a lot of QSRs now making a sharp pivot to value because our coffee prices just got way too high per cup and their food prices got way too high. And I think we're just in a better position not having to make that sharp pivot, but just committing to everyday low price. 
Robert Griffin: Okay. That's helpful. And then, Andrew, I think in your comments, you mentioned some pricing initiatives, I think, rolling on the back half of the year is one of the building blocks to help kind of drive to a faster merchandise gross profit contribution. What exactly are those pricing initiatives? Because it seems like you guys are holding your price tough for some of your QSR peers. So is it just going to more regional pricing on a local basis, region by region? And what exactly is going to be changing on pricing that's going to be favorable for the business? 
Andrew Clyde: Yes. So we have really developed enhanced capabilities on fuel pricing and tobacco pricing. What we've done less on from a capability standpoint is the broader center of store pricing. And so some of the analytical work we've done is basically involves segmenting stores, understanding the price elasticity by different segments of stores. And honestly, just seeing where you can take price and we've left money on the table. And alternatively, where we could actually give some additional price and pick up some volume. .
 There are some other specific categories like candy, for example, that was super inflated cocoa prices, consumers are seeing a pinch. And so as we think about the elasticity of some of those products where can we take some pricing and promotional activity to the next level and on a contribution margin dollar basis come out ahead. So a lot of those activities, Bobby, relate to center of the store but just build on kind of the know-how and analytical prowess that we have in fuel and tobacco. 
Operator: Your next question comes from the line of Tarlowe Corey with Jefferies. 
Unknown Analyst: [indiscernible] on for Corey Tarlowe. Kind of starting at a higher level [indiscernible] a lot of consolidation in the space, especially with the small multiunit chains. So let's say, like one to -- or I'm sorry, about 200 to 100 units and as opposed to like these one-off guys. Has that significantly changed the overall operating environment? And if so, like how are you responding? 
Andrew Clyde: So first of all, I don't think it's going to change the environment. We've seen consolidation in this industry at a steady pace since the late '90s when some of the majors emerge and then they divested their company-owned chains, and we've just seen a steady state of consolidation. The challenge with the majority of these stores being consolidated is our old.
 They have old underground tanks. They often -- in rare cases like QuickCheck, they have exceptional brands that you can leverage. Many of the ones being consolidated, have undifferentiated brands. If franchise-focused consolidator picks them up and applies their brand to them, it helps and certainly gets some value to that operator. But for the most part, it's not changing the fundamental positioning of those stores. Are they going to become high-volume everyday low-price retailers that compete with us? Or are they going to mean lower volume convenience-oriented top of the market priced retailers. And we really just don't see that changing.
 I think you can look at the economics of some of the bigger public consolidators and on a same-store basis, you're not seeing sort of material changes there that indicate it's changing the fundamental industry dynamics. 
Unknown Analyst: No, that's super helpful color. And then a quick one for Galagher. I know it's still early days, but I was wondering what has surprised you most about the C-store industry or [indiscernible] specific reasons to went in? 
Galagher Jeff: Really good question. So thank you for that. And I just hit my 2 months here with the company. So a lot of good surprises. I think one surprise [indiscernible] most part of background is retail, is the volatility that you see in the fuel. And we are executing a strategy that we are very confident in. And just like we saw in Q1, we executed the strategy, but the dynamics in the industry, the volatility of fuel prices can impact our results. That's something that we are managing, but we're very confident that over any horizon, we're continuing to deliver the strong results that everyone is accustomed to.
 So that's a learning for me as I get into this business. But I think we are extremely confident in our initiatives. We love our strategy. Our customers are responding, and we're continuing to deliver some really good results. 
Operator: That concludes our Q&A session. I will now turn the conference back over to Andrew Clyde, CEO, for closing remarks. 
Andrew Clyde: Great. Well, thank you, everyone, for joining in. As always, direct any follow-ups to Christian [indiscernible] and we'll forward to updating you in the very near term. Thank you very much. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.